Operator: Please stand by as we’re about to go live. Good day and welcome to the NetSol Technologies, Inc. Second Quarter Earnings Conference Call. Please note today’s conference is being recorded. At this time, I would like to turn the call over to Ms. Patti McGlasson, Senior Vice President, Legal and Corporate Affairs, General Counsel and Corporate Secretary. Please go ahead, ma’am.
Patti McGlasson: Good afternoon, everyone and thank you for joining us today to discuss NetSol Technologies’ fiscal 2015 second quarter results. On the call today are: Najeeb Ghauri, Chairman and Chief Executive Officer; Roger Almond, Chief Financial Officer; and Naeem Ghauri, President, Global Sales. Following a review of the Company’s business highlights and financial results, we will open up the call for questions. The call is scheduled for one hour. First, some housekeeping before we start, please note that all of the information discussed on today’s call is covered under the Safe Harbor provisions of the Private Securities Litigation Reform Act. The company’s discussion may include forward-looking information reflecting management’s current forecast of certain aspects of the company’s future, and our actual results could differ materially from those stated or implied. These forward-looking statements are qualified by the cautionary statements contained in NetSol’s press releases and SEC filings, including its annual report on Form 10-K and quarterly reports on Form 10-Q. I would also like to point out that NetSol will be discussing certain non-GAAP measures and the release issued earlier today contains a reconciliation of these non-GAAP financial results to their most comparable GAAP measures. In addition, I’d like to remind everyone that today’s call is being webcast at www.netsoltech.com. Following the conclusion of the call, the webcast may be accessed on the NetSol website, where it will be archived for 90 days. With that, I will now turn the call over to Najeeb.
Najeeb Ullah Ghauri: Thank you, Patti, and thank you everyone for joining us today. We are so pleased with our second quarter results which now include the first part of revenue recognition from the multiple new business wins we discussed in the last quarter, including the beginning of revenue recognition for the $16 million contract we had announced in August. The results also reflect increased utilization of our products with customers requesting additional seats, customer work, and continued change requests boosting our services revenue in the quarter. We can now confidently say that given our implementation schedule over the second half of fiscal 2015 that we would approach our fiscal 2013 revenue results, a time that reflected strong growth for NetSol prior to our transition year. Layering on to our optimism, our continued win throughout Asia, expanding relationships in North America, and I’m so pleased to announce today two new agreements in Europe. Naeem will provide further details later in the call. Europe is a major focus for NetSol and the recent hiring in the UK office as well as in Germany is an indicator of that. We hired senior executives from the industry with direct experience in our sector to lead our go-to-market efforts throughout the region and provide the local touch point that is crucial for current and potential customers. Looking forward and having just completed our strategic planning and review meetings with our business heads throughout the world, we are very excited about the opportunity ahead, and our ability to generate meaningful results for our shareholders. With that I will now turn the call over to Roger Almond, our CFO, to review our financial performance and then to Naeem Ghauri to discuss our new business activities. Roger?
Roger Almond: Thank you, Najeeb. Before getting to the numbers, I just wanted to make a comment about our most recent trip to Pakistan, where Patti McGlasson and I were able to go to Lahore and see the infrastructure and meet with the people responsible for developing and implementing our product and it’s great to be part of the executive committee and just see the future of NetSol. And after being there I’m pretty bullish on NetSol, and the ability to generate the product and to deliver to our customers. So a great trip and Pakistan is a very great place to visit. As Najeeb mentioned, we’re announcing results from some of our recent agreements which helped strengthen service and license revenue in the quarter. Total net revenues for the fiscal 2015 second quarter were $12.4 million, up from $8.6 million last year. We recognized approximately $800,000 of the $16 million contract that we signed in August. As you may recall $10 million of this contract is comprised of license and service revenue, and the remaining $6 million is comprised of maintenance and support over a five-year period. License revenue was $2.1 million compared to $456,000 last year, representing continued sales of our NFS legacy product. Maintenance fees were $3.3 million, up from $2.9 million last year. Quantified on an annual basis, maintenance revenue is now trending north of $12 million. Services revenue was $5.6 million, an increase from $4 million last year. The increase in revenue is a result of incremental increases in our mandate rate for all skill-sets. Additional deliveries of customer change requests and services performed during implementation. Related party services revenue which reflects our joint venture with Innovation Group was $1.4 million compared to $1.3 million last year. We are experiencing an increasing demand of resources from the Innovation Group and are expecting this revenue to increase further in the coming quarters. Costs of sales for the current quarter were $7.4 million, up from $5.6 million for the same period last year. The increase was related to higher depreciation and amortization expense of nearly $680,000 as we have begun amortizing NFS Ascent development costs. The remaining increase relates to the hiring of new employees to achieve our growth objectives. We increased our technical personnel from approximately 1,040 at June 30, 2014 to 1,120 at December 31, 2014. Our gross profit was $5 million compared to $2.9 million last year. Operating expenses were $6 million for the fiscal 2015 second quarter, up from $4.4 million from the comparable quarter last year; on a sequential basis, operating expenses increased by approximately $550,000 from the first quarter 2015 primarily due to an increase in sales and marketing expenses by $440,000. Removing depreciation, amortization of $2.2 million EBITDA, a non-GAAP measure, was $900,000 for the second quarter 2015 or $0.09 per adjusted diluted share. This compares to EBITDA of approximately $6,000 or breakeven for adjusted diluted share for the same period last year. For the period ended December 31, 2014, our cash and cash equivalents balance was $13.5 million, up from $10.4 million in September and $11.5 million at June 30, 2014. The quality of our receivables continues to remain strong. With that, I’d like to now turn the call over to Naeem to provide an update on our new business activities. Naeem?
Naeem Ullah Ghauri: Thanks, Roger. We’re starting to now see real traction and sales are starting to pick up in all our regions. And essentially, we feel that NetSol in terms of both with our one legacy product as well as Ascent, starting to turn a corner as new agreements are starting to build up and same goes with the pipeline. Let’s start with APAC. In China, we are almost done with an implementation of two medium to large size deals which we announced last quarter and which are valued at over $4 million. In Thailand, we are just live with Ascent wholesale solution, where the client is running the system in parallel and we believe within two months they will go off the older system, which was also a NetSol solution, the legacy product of wholesale, and actually be full live in our new NFS Ascent solution. In Indonesia, we are close to going live on another NFS Ascent implementation, which is our full-blown back-office CMS implementation. This is a very first piece of a very complex and a long program, which will go well into 2015 and maybe early 2016. This was the large program we announced in the range of $16 million and we’re starting to know see that actually into a working solution. And we’ll see the first phase go live in April this year. In North America as we described last quarter, we are expanding our relationships with our existing clients. And one of the leading capital finance company, basically have agreed to buy more licenses and more seats. And we are not able to announce the client’s name as it’d be under some NDAs. With Europe, as Najeeb mentioned, we recently conducted some hiring. We’re hiring senior executives both in the delivery of the solution, as well as in sales. We also opened a new office in Germany. And we’ve hired three senior sales executives including a project manager in Germany as well. We believe that we have a very strong competitive position and we believe our talent in the local markets now in Europe, including Germany and UK are starting to give us some edge and differentiates us against our competitors. This is an addition to two new agreements we are in the process of signing. One actually has been signed. The other is in a proof of concept stage. Both of them are really exciting developments for the company. And it reflects on the new hiring that we have just recently made. Our hiring have already started contributing through these new engagements. The first engagement is to provide a complete solution to run the back-office process of a very innovative auto captive finance company from the U.S., which is launching its first subsidiary in Germany. We are not only providing our back-office and front-office solution to run the company from the IT perspective, but we’re also providing a full-blown EPO, which is running the back office for them, just as we do in VLS. The first phase of this project is expected to go live by the end of this month, and we believe more countries will come online by July in Europe, including the UK, Holland, and Italy. In addition, we are especially excited to have been engaged by major asset finance client in the UK. This client was already an existing user of our LeaseSoft solution. We are now upgrading it to Ascent. This is a major breakthrough for us, would be our first Ascent client in Europe. This program is expected to launch in March and start to contribute materially to NetSol Europe’s business from first quarter of fiscal 2016. The overall size of the program is in the range of $7 million and it’s basically a big breakthrough for us in the entire European market as we will use that as a foundation to roll out Ascent into other clients, which are existing users of the LeaseSoft. We are indeed excited about these developments and others, which will be reported over time, and we believe these will be strong contributors to our 2016 revenue. The reason to mention them today is to demonstrate to investors that we are making great progress against a sizable pipeline, which remains very strong and healthy. To sum it up, we are extremely excited about the opportunities in the market, and we look forward to updating you on our progress. With that, I’ll turn the call over back to Najeeb.
Najeeb Ullah Ghauri: Thank you, Naeem. Naeem is joining us from our NetSol Sydney office in Australia, so that’s where they’re really having a lot of marketing field activities for that region. So, thank you again. Indeed, we are so busy in all the markets we operate with teams hard at work on implementing our solution with the utmost professionalism, ensuring delivery on time, and that exceed our customers’ expectations. With large value projects underway, increased adoption in Asia, new implementation in Europe, increased utilization in North America, and our ability to service larger value contracts at a quicker rate, I am confident in our ability to deliver a strong growth while providing the best solutions and service to our clients, partners worldwide. This is an exciting new chapter in the history of NetSol, as we emerge from the transition period and, in fact, depend against to take hold on the new and investing clients. With this and for the time remaining, we would like to open the call up for questions. Operator?
Operator: Thank you. [Operator Instructions] And we’ll take our first question from Howard Halpern with Taglich Brothers.
Howard Halpern: Congratulations, guys, great progress going on.
Najeeb Ullah Ghauri: Thank you.
Howard Halpern: First question is, regard to, I guess gross margin, which increased nicely. You anticipate that’s going to really be the driving force in this coming year to get you towards operating profitability?
Najeeb Ullah Ghauri: Yes, Howard. Gross profit is always a driving force, because depending on where we are delivering our solution, which is as you know, in most cases from offshore location. I think the company is committed. We just came back from our long - week long executives meeting in Lahore, Pakistan, where we addressed these future gross margins, how we’re going to improve - continue to improve our numbers in both margins, operating and, of course, the net margins. So absolutely, I’m confident, this will be our focus, try to leverage most out of human talent and cost of development. And I think this is how this will translate into a very strong and healthier bottom line.
Howard Halpern: And could you, I guess, talk a little bit about, maybe the qualified pipeline of that’s really just starting to filter in, because I know you were into, I guess, the end of calendar 2014, you were at two trade shows. So I guess, could you talk about new interest by new customers in the product?
Najeeb Ullah Ghauri: Yes, I think, I’ll make a short comment and Naeem will jump in. About the pipeline, as you’ve seen, Howard, over the last couple of quarters, we are converting a lot of deals that have been in pipeline last few quarters, referenced with NFS Ascent. That’s a very healthy trend and I know they’ll be converting some bigger contracts Asia Pacific especially and now in Europe, Naeem just mentioned, but also our pipeline is building further from this one. So I think I believe what we say about pipeline, we are delivering it, we’re excited about it. And Naeem will give more color on how this thing is shaping up the coming quarters.
Naeem Ullah Ghauri: Yes, yes, Howard, if you look at how the business is converting from pipeline to sales, we are, in fact, holding back some of the conversion, because really our biggest challenge is in terms of scaling delivery now against the demand. So the demand at the moment is far exceeding our supply of people, and hiring people and skill-sets where Ascent needs to be, these are the skill-sets, which are quite different to our legacy product. So our focus has been to build out more capacity and the recent escrow that we had, we are looking to hire additional people to service some of the businesses, which is already committed, and other which is in the pipeline. So our challenge at the moment is not so much conversion of the pipeline, is to actually deliver against what we have converted and what we see is coming through. So going forward, we believe the numbers that you’ve seen should grow nicely as we add more capacity and as some of these prospects turn into actual times, which we see continuing in the next 12 months.
Howard Halpern: Okay. And could you just talk about, I guess, one last thing the mobility product offering. Are you seeing inquiries into that product and how do you see that over the next couple of years?
Naeem Ullah Ghauri: Yes, mobility is very exciting, because really just the big change in how business has done now at dealer end for our auto captive finance companies. All the dealers that do business on NFS platform have asked for ability to do business on tablets and their mobile phones. So it certainly - it’s a very exciting space to be in. We have a specialized unit in Lahore that develops nothing, but mobility solutions to have an ideas lab. We do R&D. We come up with innovative solutions. We’re very proactive going to our existing clients and show them what we have built and lot of interest. And in the process, we are implementing a number of our clients with some of the new products that we have released to the market. We are not attacking the new market yet, because we believe there is already so much demand from existing clients that people service them over the next 12 months that I would add incrementally to our revenue and obviously grow the referenceability of the product, and then we’ll go and attack the new prospect market.
Howard Halpern: Okay. Well, guys, keep up the great work.
Naeem Ullah Ghauri: Thank you.
Roger Almond: Thank you
Najeeb Ullah Ghauri: Thank you, Howard.
Operator: [Operator Instructions] And there are no questions at this time. That will conclude today’s question-and-answer session. At this time, I would like to turn the call back over to Mr. Najeeb Ghauri for any additional or closing remarks.
Najeeb Ullah Ghauri: Thank you. In closing, I’d like to express my deep gratitude to our shareholders, our customers, our employees for their continued support. Thank you again for joining us today. See you next time.
Operator: And this will conclude today’s conference. We appreciate your participation.